Operator: Greetings, and welcome to the CorEnergy Infrastructure Trust Second Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded.It is now my pleasure to introduce to your host Lesley Schorgl, Manager of Investor Relations. Thank you. Ms. Schorgl. You may begin.
Lesley Schorgl: Thank you for joining CorEnergy Infrastructure Trust's second quarter 2019 earnings call. I am joined today by David Schulte, Chairman, President and CEO. As a reminder, the presentation materials for this call, as well as information included in our press release, issued Wednesday, and an audio replay of this conference call will be available on CorEnergy's Web site.The statements made during the course of this presentation that are not purely historical may be forward-looking statements and are subject to the Safe Harbor protection available under the applicable securities laws. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents are available on the Investor Relations section of our Web site.We do not update our forward-looking statements. Reconciliations between GAAP and the non-GAAP results, which we discuss on this call, can be found in our related earnings press release and 10-Q filing.I would now like to turn the call over to Dave Schulte, who will discuss CorEnergy's second quarter.
Dave Schulte: Thanks, Lesley. Our team spent the second quarter looking at multiple assets to acquire, as well as potential actions to further strengthen our capital structure. Last week, we declared our 16th consecutive $0.75 quarterly dividend. The key event to occur in the quarter relates to the progress of the MoGas for rate case. On slide four, we discuss this process and the conclusion that we're nearing.As you may recall, in March 2017, MoGas entered into a new 13-year agreement with its largest customer buyer Missouri East that was expected to maintain volumes, but decreased revenue by approximately $4.5 million annually. At that time, we announced that we expected to offset at least 3 million of those lost revenues for a number of initiatives including filing for higher rates deferred; MoGas filed this rate case in May of 2018, the proposed rates are to recover increases in capital operating and maintenance expenditures incurred, including those necessary to comply with increasingly stringent federal and state mandates, mitigate for the substantial decrease in volumes due to the loss of a firm transportation contract with St. Louis Natural Gas marketing entity, mitigate for the substantial decrease in revenue from the new Spire contract, and finally, reflect changes in the corporate income tax rate associated with 2017 Tax Cuts and Jobs Act.During this quarter, MoGas and all interveners agreed in principle to new rates, which would provide nearly $15 million revenues annually. The settlement is pending final order by the FERC, which we expect to incur in September of this year, if not sooner. The agreed to rates achieved the goal of offsetting $3 million of the $4.5 million decrease in revenue. Quarter energy picked up another incremental million dollars from the repurchase of minority equity and Pinedale LGS, which helped us mitigate virtually all of the impact of the MoGas revenue challenge we faced. This has been a two-year process that demonstrates our teams delivering on expectations.Moving to our results on slide five, our adjusted funds from operations remained consistent over the past four quarters. The decline in revenue from the December 2018 sale of the Portland Terminal were offset by this paying rents, higher transportation and distribution margins, and lower G&A expense and interest expense related to the convertible notes. As we've said in the past, we use participating rents for reinvestment and debt repayment. We use funds including those rents to support a consistent dividend for stockholders. As our assets terminal values are driven by the long life, but nonetheless depleting reserves that they serve.For this reason, we set a long-term target AFFO to dividend coverage ratio at 1.5. For the second quarter, Cor's AFFO per share, adjusted dividend coverage ratio of approximately 1.4 times, which is below our target due to un-invested proceeds from the sale of Portland.Slide six provides an overview of our capital structure, which looks very similar to last quarter's metrics with small changes due to the conversion of some of our convertible bonds to common equity. CorEnergy remains well below our total debt to total capitalization target levels at only 18% can be lot preferred to total equity target levels at 26%. At quarter-end, we again had nearly $60 million in cash and over $120 million in revolver availability. We're eager to get that $182 million of liquidity put to work and we continue to assess assets that meet our due diligence requirements.On slide seven, we provide an update of our initiatives for the remainder of 2019, we expect the MoGas rate case to conclude in the third quarter. We continue to believe, we're positioned to complete at least one acquisition this year and our targeted size range of $50 million to $250 million and our business development team has been busy assessing potential assets in that range.Our financial ability to complete an acquisition is supported by the liquidity we currently have on our balance sheet as well as our ability to use other financing sources such as asset level or corporate debt, joint ventures or private placements with institutional investors.Should a transaction not materialize, we would utilize our cash on hand to continue to strengthen our capital structure. We have had a very busy second quarter. I'd like to congratulate my team has worked diligently in the MoGas case and we can see the end in sight. We expect the final months of 2019 to be equally if not more productive in the second quarter as we strive to complete an acquisition and address our capital structure.With that, I'm happy to answer questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Michael Zuk from Oppenheimer. Please proceed with your question.
Michael Zuk: Good afternoon, Dave. A [indiscernible] question by me, what's the status of the Fort Leonard Wood opportunity?
Dave Schulte: Mike, we have provided the Fort leadership with a list of projects that we believe would result in acceptable savings under the energy savings contract that we were that we won with our partner. And right now, we're still in a waiting mode while the leadership of the four prioritizes that list and evaluates our recommendation. So, we were pleased to have won the contract. We're past the stage of providing opportunities and we're now awaiting approval.
Michael Zuk: So there is hope that maybe in the next year or so, we can move from a proposal into actual final negotiations on a particular project?
Dave Schulte: Mike, I think that timeframe is reasonable; we can't predict though the prioritization or speed that that Fort will act within. But they did ask for these proposals through quite an extensive process. And so the fact that we were able to get through that process and now they're in review mode, we think is positive toward a potential outcome with some project that or projects that the leadership deems worthwhile.
Michael Zuk: And then a follow-up question on MoGas. Have you initiated any type of a marketing effort through MoGas to try and attract additional customers to the system?
Dave Schulte: Well, we have done that for the past several years since the Spire contract we had it, we had several more formal and then also informal outreaches. There certainly is the opportunity for business development efforts by municipalities that we serve in the rural markets in Missouri that they are pursuing and we would benefit from that. And so we will pay close attention to that Mike and appreciate your continued asking about those efforts.
Michael Zuk: Well so far you have stayed the course and I'm glad that you haven't cut a deal just to be cutting a deal. Keep your criteria at a high level and we'll benefit going forward.
Dave Schulte: Thank you, Michael.
Operator: Our next question comes from the line of Selman Akyol with Stifel. Please proceed with your question.
Selman Akyol: Thank you. So, on MoGas, rate increase of 14.8 million you originally had gone out with 16 million, so was there a refund of 1.2 million is that the difference there?
Dave Schulte: Actually the $16 million was the run rate revenue prior to the renegotiated contract was fire that's the benchmark for the new rates which are 14.8, we get there being 1.2. And the rates that we were able to implement upon filing the rate case were higher than 16. I think we announced it was approximately 20 million. We have been reserving some part of those rates for potential refund and the way the refund mechanism works is a credit over the next 12 to 24 months in that window for the increased rates that were received. It was only for a few quarters, so it's not a material amount of dollars, they will be credited back but we have -- I think created the funds or have the satisfied with which to use going forward against those credits. So it's not a material adjustment but it will be made over the ensuing two quarters.
Selman Akyol: Okay. And then post that then, would you expect to see it increase in cash flow because Europe I guess charging lower rates in order to handle the credit? And then ones that expires you will go back to do great -- rates that are great?
Dave Schulte: Currently the rates, our revenues will reflect the new lower rates. The credit will offset the reserve that we've already established over the last couple of quarters, where we were expecting in conservatism by anticipating the potential that we would have some refund amount. And the net of those two, again over a couple quarters is immaterial.
Selman Akyol: I got it. Okay. That makes perfect sense. And then is there any update on Grand Isle where those things stand?
Dave Schulte: There's no update on Grand Isle other than what we have said in the last quarter which is we continue to believe that our tenant should be providing us financial information pursuant in terms of the lease and we initially had a favorable judgment in that regard and they have appealed, so the appeal status is unpredictable as to its time from here, so we will continue to keep the market posted as to any outcome there. But right now we are continuing to receive grants on a timely basis. We are continuing to obtain access to management for information including inspections that we routinely conduct and so it's business as usual other than that one item.
Selman Akyol: Got it. And then, can you just maybe talk about some of the opportunities you're seeing or evaluating?
Dave Schulte: Sure, I'll be happy to. The range from some downstream connected assets similar to the assets currently our portfolio to upstream related assets against similar to, so nothing that's outside the scope of what we don't already own, but what we have seen in the past several quarters is that we are increasingly of interest to companies that have a need for internal cash flow, rededication to opportunities where the market generally is requiring more demanding that upstream producers provide disappointment and live within their cash flow.So we've had an increasing interest of upstream oriented companies who are willing to evaluate our financing approach and their retained control of the assets. We also have a differentiation from private equity funds and that our horizon is very long versus a shorter truncated liquidity requirement that private equity might have. So this is resulting in a setting a differentiated funding opportunity in the market and we are seeing increased interest in our opportunities that actually built robust right now.
Selman Akyol: Very good. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Barry Oxford with D.A. Davidson. Please proceed with your question.
Barry Oxford: Great, guys. Thanks. Just to build on that question. Dave with the 10 year down around 1.9% can you be more aggressive with the 10 year down there as far as your terms that you would put in front of somebody are not necessarily?
Dave Schulte: We have - that's an excellent question in terms of our funding cost internally.
Barry Oxford: Right.
Dave Schulte: And what we're seeing in the market is, right. And but we are constrained by what we see in the market as well and we do believe that their reduction in rates is beneficial to us from a cost standpoint. However, it also reflect -- is reflected in other potentially competitive sources of capital and their cost to issuer, So this spread isn't that different that was a few quarters ago and so that's where we live more is in terms of relative attractiveness that the lower overall rate structure though in the market today does enable us to be relevant and competitive and it does seem is a good time for upstream companies to lock in long-term cost with the lease like ours.We would then tend to have longer-term liability cost as well and you've seen our history, we've tended to have more fixed rate debt, fixed rate preferreds, consistent dividends on our common, so our cash cost we tried to not have a lot of interest rate risk or opportunity with a significant amount of floating rate debt in our structure. But nonetheless, on balance it's a positive we think.
Barry Oxford: Okay, great. Thank you so much guys.
Dave Schulte: Thank you, Barry.
Operator: There are no other questions in the queue. I would like to hand the call back to David Schulte for closing comments.
Dave Schulte: Thanks very much. A very productive quarter, something we've been looking for so long time with a positive outcome from MoGas and we're very close to achieving our dividend coverage ratio even with on invested cash. So we feel good about our stability and outlook and the prospects for the future. Thanks again for interest.
Operator: Ladies and gentlemen, this does include today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.